Operator: Greetings, and welcome to the Performant Financial Third Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to the conference over to your host Mr. Richard Zubek, Director of Investor Relations. Thank you, sir. You may begin.
Richard Zubek: Thank you, operator. Good afternoon, everyone. By now, you should have received a copy of the earnings release for the company's third quarter 2015 results. If you have not, a copy is available on our Web site www.performantcorp.com. Today's speakers are Lisa Im, Chief Executive Officer and Hakan Orvell, Chief Financial Officer. Before we begin, I'd like to remind you that some of the comments made on today's call including our financial guidance are forward-looking statements. These statements are subject to the risks and uncertainties including those described in the company's filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today and the company does not undertake to update any forward-looking statements based on new circumstances or revised expectations. Also, non-GAAP financial measures discussed during this call are reconciled to the most directly comparable GAAP measures in the table attached to our press release. I'd now like to turn the call over to Lisa Im. Lisa?
Lisa Im: Thanks, Rich. Good afternoon everyone and thank you for joining us for our earnings call. For Q3, we reported overall revenues and adjusted EBITDA of $38.5 million and $6.5 million in line with our projection. On a year-over-year basis, revenue was down slightly by $1.1 million or 3% and adjusted EBITDA was up slightly by $800,000 or about 14%. We continue to experience delays with the Department of Education contract renewal process. Based on our best information, we believe they would announce the new contract award by September 30, which is the end of the federal fiscal year. To date, they have made no announcement about the award. However, we still believe that our excellent compliance result, recovery of student loans and size of managed portfolio positioned us well for our re-compete awards; while the timing of the contract renewals are outside of our control we have been aggressively managing all that is within our control. During this transitional softness in our business, we have been focused on establishing resiliency in our financial platform by comprehensively restructuring our expenses in both variable and fixed costs. If we annualize these cost reductions that we've implemented in the first nine months of the year, they represent about $15 million annualized. Our total healthcare revenues in the third quarter were $5.1 billion, which is even with the prior year period. Our commercial healthcare revenues of $1.6 million fell short of our expectation and we expect fourth quarter commercial revenue to approximate third quarter revenue. While we are firmly committed to growing our commercial health care business and believe that we are positioned to build a diversified commercial healthcare revenue stream, these results are unacceptable to us. There are two key factors driving lower commercial healthcare results in 2015. First one key opportunity representing over 1 million of revenue has been delayed in implementation and as a result of push revenue into 2016. Secondly, in some contracts it has taken longer than anticipated from implementation to contract ramp-up to revenue realization. Keep in mind that all of our meaningful commercial health care contracts, are new contracts and are undergoing a level of ramp-up. As a result, we are undertaking a number of initiatives to drive increased results in commercial healthcare going forward. First this past quarter, we re-organized to create faster implementation team, decreased the time required to increase audit volume. Achieve greater standardization of product that can be utilized across client and streamlined overall operational efficiency. To strengthen this reorganization effort, we've added experienced commercial healthcare employees to drive contract expansion in our current client. Well, only time and results will tell. We intend for these changes to drive critical improvements and acceleration of execution. Last with small overall revenue source performance, we have doubled our commercial healthcare revenue in 2015 and believe we are pursuing the right opportunities through our sales pipeline to build a well-diversified and strategic business over the long-term. With that, I’d like to turn the call over to Hakan to walk you through the financials. Hakan?
Hakan Orvell: Thank you, Lisa and good afternoon everyone. Today, we are reporting results for the third quarter with revenues of $38.5 million, net loss of 314,000 or $0.01 per share and adjusted EBITDA of $6.5 million. Beginning with our student lending business, revenues totaled $28.5 million, an increase of $0.5 million compared to the third quarter of last year. During the quarter, the Department of Education accounted for $6 million of revenues while guarantee agencies generated $22.5 million. These amounts represent a decline of $7 million and an increase of $7.4 million respectively when compared to the third quarter of 2014. These results reflect the increase in borrowers that are participating in income base rehabilitation programs with our Guaranty Agency clients partially offset by the Department of Education contract transition and fixed fees. During the third quarter student loan placements were $0.5 billion down from $1.7 billion in the third quarter of 2014. The decrease is a direct result of receiving DOE placements only through April 21 when our DOE contract expired. We do not anticipate receiving new placements from the Department of Education until the re-award of the new contract and this gap in placement would impact our results through 2016 due to the lagging converting placement into revenues. For reference purposes, we received $0.5 billion of Department of Ed placements during the third quarter of 2014. In addition, placements from guarantee agencies were lower than normal in the quarter primarily due to fluctuations in placement volumes that we occasionally see from guarantee agencies. Looking ahead to the fourth quarter, we expect to see guarantee agency placement volumes return to a more normalized levels. Our healthcare revenues were $5.1 million compared to $5.2 million in the third quarter of last year. Revenues from our work with the standard of Medicare and Medicaid was $3.5 million, down from $4 million in the prior year period due to the current limited audit scope. Our commercial healthcare business generated $1.6 million in the quarter, an increase over the $1.2 million from the prior year period. Lastly, revenues from our other markets generated revenues of $4.9 million in the third quarter compared to $6.4 million in the prior year period. Moving to our expenses, salaries and benefit expense in the third quarter was $21.7 million, a decrease of 2% compared to $22.2 million in the prior year period. Other operating expenses for the quarter was $14.1 million, a decrease of 10% compared to the third quarter of 2014, primarily due to reduction in volume-related costs and other completed cost reduction initiative. We are focused on improving our productivity, executing on our business development initiatives and thoughtfully engaging in expense restructuring. As we have discussed previously a significant portion of our expenses are highly variable in nature and as such there are other adjustment that could be made as necessary to help us achieve our financial objectives. We're balancing this with a focus on building long-term revenue. For the third quarter of 2015, our reported net loss was $314,000 or $0.01 per share compared to a net loss of $479,000 or $0.01 per diluted share in the prior year period. Adjusted net income in the quarter was $0.8 million or $0.02 per diluted share compared to $0.7 million or $0.01 per diluted share in the prior year. Fully diluted weighted average outstanding shares was 50.1 million shares in the third quarter of 2015. Our adjusted EBITDA in the third quarter was $6.5 million compared to $5.7 million in the same period last year. Adjusted EBITDA margin was 16.9%. Our effective income tax rate change to 18.1% for the nine months ended September 30, 2015 from 42.2% for the nine months ended September 30, 2014. The decrease in effective tax rate is primarily due to the loss from operations incurred for the nine months ended September 30, 2015 compared to the income from the operations for the nine months ended September 30, 2014 and the resulting impact of these state income taxes on the effective tax rate. Even though we have a loss for the nine months ended September 30, 2015 in certain states we continue to pay taxes due to the profitability of our performance recovery subsidiary, which files a separate turn in those states. Cash flows from operating activities in the third quarter were $19 million. Turning to the balance sheet as of September 30, 2015, we had cash and cash equivalents of $78.3 million. Our total outstanding debt as of September 30, 2015 was $96.5 million, reflecting our continued focus of paying down our long-term debt. Now, I will turn the call back to Lisa for some concluding remarks.
Lisa Im: Thanks, Hakan. Considerable work has gone into restructuring our expenses and organizing our commercial healthcare operation. Our reported results in the third quarter reflect some of its hard work and we are cautiously optimistic that additional benefits will continue to escalate. I say this repeatedly but firmly believe that the results year-to-date, do not fully reflect the hard work and considerable effort from our employees. As we manage through a transitional period, we will continue to thoughtfully but aggressively manage all within our control to grow in the long-term. As a result of this work for 2015, we are still estimating revenues to be at the upper end of the $150 to $160 million range. But we are increasing our adjusted EBITDA guidance range to between $24 and $26 million. Lastly, although we will provide our full 2016 guidance, as we normally do on our fourth quarter conference call, I wanted to provide some brief color on our current view of 2016. At this time, we expect 2016 revenue and adjusted EBITDA to be adversely impacted versus this year by the ongoing delays associated with the contract awards from the Department of Education and CMS. Well it's too soon to get into specific, if we were to assume that both contracts were awarded in the near-term, we would still be faced with standard delays related to revenue recognition under both contracts. We will continue to recognize revenues to the one-off of the old Department of Education contracts based on the rehab model from this year. Although, it will be at a lower level that in 2015. Similarly on the CMS contract, we will continue to audit through the contract extension that was just executed. With that, I would like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Denny Galindo with Morgan Stanley. Please proceed with your question.
Denny Galindo: Hi, thanks for taking my question. I just want on the timing of the educational revenue, you said that -- you’re seeking that may not be awarded at the end of the year and then there would be delayed in revenue recognition [indiscernible] some in the industry that with the small business award even though that already had an ATO in place, you had to get a new ATO. So, I was curious if you're thinking on that has changed whether there will be -- the revenue recognition delay, but also a delay associated with getting a new ATO with a new contracts?
Lisa Im: Thanks for the question. I think with respect to getting a new ATO, those are processes that are fairly routine for us particularly since we've had numerous ATOs year after year. So I don't think we're anticipating much of a delay. And I think it would depend too on -- if there were non-incumbent that was selected on the new contract and if they were not ATO compliant. However, I would say that probably -- and again, I haven't talked to anyone at Department of Education, but I would speculate that there patience with small business is probably at a greater level than we are on unrestricted businesses. Those are the business that are expected to having ATO and that was actually made clear in the procurement.
Denny Galindo: So you are thinking that this should be relatively clicked [ph] in-between contract award and actually getting new placements?
Lisa Im: We believe so.
Denny Galindo: Okay. Then switching to a different topic. On the tax businesses, is relatively small and maybe one of the things that they are going next year and everything slow down. Two things, I know there has been the recent budgetary talk on Washington, there is talk of expanding the stroke of tax collections. I wondered if you could give some details there. And then secondly, I heard that the existing tax collection contract you have might also becoming in the near future. And maybe you could just comment on that a little bit?
Lisa Im: There is legislation and it's been in the press with respect to the IRS and the legislation from what we've read is to have the IRS actually contract with vendor partners. So of course, with any legislation we don't know what the outcome of that will be, it is being supported in a by part of fashion. We hope that it will pass and will provide an opportunity for the growth for experienced tax and we certainly provided those services to state agencies in the past. With respect to reprocurement, there is a reprocurement going on in one of our existing clients. And we've submitted an RFP. We think, we are again -- we think we're in a very strong position given our experience our clients and our - I would say pretty very, very strong results over the years that we serve that client. So we're - we think at this point we have a very strong probability of re-winning that, but we'll see; I think I'm not sure what the time frame is for the award notice.
Denny Galindo: When would that contract expire?
Lisa Im: I don't have that right at my fingertips. I will tell you that our contracts are such that they continue during the procurement. So for example if there were any kind of a protest, we would not stop working.
Denny Galindo: Okay. That's helpful. And then getting into just the GA placements, they were down a little bit this quarter, but there is always some ups and downs there and it's kind of hard to get a decent run rate. Maybe you can give some more color on where you think those placements all end-up either a 30-year or I wonder a more normal quarterly placement rate is for that GA business?
Hakan Orvell: Sure, as we say that we occasionally experience fluctuations and placements from our clients due to delays and sometimes to there could be system challenges or other factors that we expect to see a more normalized placement in Q4 and the placements are guarantee agencies to talk. We have been running in the vicinity of $800 million to about a $1 billion, so that's what we would expect to be in Q4.
Denny Galindo: And is that still increase next year or would be kind of this time in stock our GA business started to defined there?
Lisa Im: We at this time do not expect there to be a decline. And one of the things that we've mentioned in the past is as the guarantee agency industry starts to consolidate. Clearly, the smaller and the mid-sized guarantee agencies would fold into the larger ones. We are strategic partners with several of the very largest and strong diversified guarantee agencies. So at this time, we do not expect our guarantee agency volume to be in decline as we go through next year.
Denny Galindo: Okay. And then lastly just on expenses. Any idea about what -- you're expected to come down accelerate as you kind of prepare for this kind of rough study after the next year. Any idea on how much more you can cut or are you still thinking the kind of ratio of variable revenue today, or expense will stay similar or any kind of guidance you can help us with that out of the sensible trend over the next year be helpful?
Hakan Orvell: Sure. So, as we have been stated in the past, we have a significant percentage bear the costs in our business and to the definitive about 70% to 75%. So that gives us good opportunities to make adjustments at 50 appropriate to meet our financial objectives. And we see that again continuing to 2016 as well. So, we've been very thoughtful as we manage our cost structure, because again we're focused on building revenue and focused on our long-term revenue growth as well.
Denny Galindo: That's it for me. Thanks for taking my question.
Operator: Thank you. Our next question comes from Brian Hogan with William Blair. Please proceed with your question.
Brian Hogan: Good afternoon. First question is actually on CMS, RFP that was released on Sunday, November 1st; it's RFP sort of open to everybody, but I assume it's still pretty close to those who are capable. But I guess what are the changes that you see from this to the previous ones and anything import, you want to point out your expectations or the timing of that?
Lisa Im: I think as we look forward to a new contract and obviously it's different from an RFQ; but we believe that an RFP allows them to -- allows CMS to have a little bit more flexibility in terms of what they want to build in. We do believe that in the newer contract, they are going to step through a bit of a different process. We think they're very focused on program integrity, but there will be a differentiation in terms of how they approach the broad provider market. So, I don't know in terms of how long the process will take. We did just sign an extension to work through, I believe at the end of July of next year. And so it is -- we believe the CMS' intent to continue to have the old contract continue to run regardless of -- if there are protested RFP. So, we're confident that we'll continue to have work with CMS.
Brian Hogan: All right. And then the commercial with the delays and implementation, I mean its $1 million in revenue that you expect to grow in the next year now, is that what I heard correctly. And then what's the ramp-up in the commercial business, obviously a lot of initiatives there?
Lisa Im: Yeah, we do expect that revenue to flow into next year and that was the result -- that delay was the result of it -- actually very large client and just the data transfer and coordination piece took a very long time -- much longer than what we anticipated. As I mentioned in the call, although, we have restructured our organization so that we can be more effective in responding to opportunities at the client level. And so we do expect as we go into next year that we're going to have a fair amount of growth versus this year. We're not giving guidance on 2016, but absolutely we expect to have better results as we roll into 2016. And we think the restructuring of the reorganization of our internal efforts will have an impact on that. And as I mentioned, time will tell, like time and results will tell, but we're already seeing some positive impact.
Brian Hogan: And for the CMS revenue is, I mean, 3.5 in the quarter up from 3 in the second. Is the 3.5 a good run rate number as you're obviously it's a very limited scope, but what should we expect there?
Hakan Orvell: Well, I mean as you've seen, Brian, over the last quarter and as we said it earlier in the year that we project to be at around $3 million every quarter and that's where we've been historically. We're not ready at this point to take the number up and much beyond that.
Brian Hogan: All right. Just a small item, the tax rate going forward, is it -- I mean, obviously what should we think about tax rate?
Hakan Orvell: As far as on effective annual tax rate, where we're right now, we're looking at about 28.8 -- 21.8%, that's where we're today. So, I think if you look out towards the end of the year, that's an appropriate level.
Brian Hogan: All right. And then obviously 2015 looks like, I mean, a challenging year. You have a healthy amount of cash in your balance sheet; you have also the healthy amount of debt. What kind of conversations that are you having with your banks regarding your debt covenant?
Hakan Orvell: Sure. We are in regular dialog with our vendors company is and they are very much focused on the same issues and questions that we are and that our investors are. And -- so we've had the same vendors for many years and they are very knowledgeable about our business and have always been very supportive. Our business is supporting us overall as it relates to our credit facility.
Brian Hogan: Are you're going to need to have exemption, but exceptions again for a period of time given the delays in contracts award?
Hakan Orvell: As we look at it right now, owing largely to the significant variable cost in that business and as you look at our financial projections that we showed that we're going to be in compliance with the bank covenant through 2016. And the real issue from our perspective is not the covenant compliance that we're solving the contract and certainty that have been hanging over our business now for some time. If there was our result as we hope and as we also expect, we believe that any covenant issues we'll take care of itself.
Brian Hogan: All right. The GA business $900 million was kind of the middle of your range for volume. How fast do you see that consolidating and obviously expect growth, but how much growth do you expect next year?
Lisa Im: If I could speak to that. I think at this point, where we don't have -- we're not privy to all the information with respect to consolidation of guaranty agencies. We can tell you though that our strategic partners have been the consolidators and so I don't think we'll know until we get a lot closer to when those activities happen. They do occur in a very confidential way at the Department of Education and with the guaranty agencies. So, we won't be privy to that for a while and certainly as soon as our clients have the ability to let us know, they will give us the heads up.
Brian Hogan: Okay. And then one last one and just a bigger -- broader picture. I believe you can now call cell phones, how does that impact your business, obviously that's going to be a positive, but just kind of what are your thoughts there?
Lisa Im: We're very excited about that. We think that will actually be -- it's finally iterative bringing the CPA into the modern age. And so it will -- with respect to how it will impact our business, it will certainly be helpful in allowing us to work better with borrowers, to help resolve their obligations for any of our federal agencies. So, we're -- we think it will definitely be a productivity enhancer.
Brian Hogan: All right. Thanks for your time.
Hakan Orvell: Thank you.
Operator: Thank you. Our next question comes from Michael Tarkan with Compass Point. Please proceed with your question.
Andrew Eskelsen: Hey, thanks for taking my questions. This is actually Andrew Eskelsen on for Mike. So, on the healthcare side; I recently saw that starting in January, the ADR limits will be reduced to 0.5% from 2% currently. How should we think about the impact after this change goes into effect? I mean, given that you're still around that $3 million quarter run rate in the business. I'm imagining that as long as the contract starts up again, it's still additive. I'm really just trying to get a sense for how you're thinking about the longer term?
Lisa Im: We [indiscernible] haven't made anything public yet. I think what you're reading is probably in the Wall Street Journal; there was an article that was -- that's out in the press. We are in very regular contact with CMS on all aspect of the audit scope, including the document request levels and the scope of we can audit. As we might have mentioned earlier, we're certainly still working through the current limit. And at this point, I don't think we can tell you, first of all, what the final definitive program will be and we're -- again, we're going to meet with CMS and we've been in a pretty good dialog with them. So, as I mentioned earlier, I think what CMS is balancing is an attempt to be very provider-sensitive as well as how to change the program in a way that will enhance program integrity and it could be that we end up with a different level of audit capacity for different types of providers. But that's still all being worked through. So, at this point, nothing has been made officially at hand, but you should know that we are in very regular dialog with CMS on this topic.
Andrew Eskelsen: Okay. And then sort of not related, but could you give me the trailing 12-month EBITDA for your covenant?
Hakan Orvell: The covenant is at $20 million.
Andrew Eskelsen: Right. Okay. And then just one more from me. On the Ed collection contract, I know that you said that you expected by the end of the year, but do you guys expect the Pioneer lawsuit against the Department of Education could still delay that contract further, you hearing anything on that front?
Lisa Im: Well, we know of the lawsuit, but we do not believe that that lawsuit will impede Department of Education for making their contract awards.
Andrew Eskelsen: All right. Thank you very much. That's it for me.
Operator: Thank you. Our next question comes from Toby Wann with Obsidian Group. Please proceed with your question.
Toby Wann: Hey, thanks for taking the question. Just kind of following up on the earlier line of inquiry about the -- suppose it reduced digital document requires, I guess my question along those lines would be supposing that -- and there's an assumption, I'll go ahead readily admit that, but assuming that the additional request moment is at that 0.5% on a go-forward basis. What's the impact? And then number two, assuming that that would be a go-forward type of threshold under the new program, would that change or about willingness to participate in the program going forward?
Lisa Im: So just as a historical reminder, when we started out this particular contract the ADR limits were at 0.5% and then CMS fairly quickly move those up to 1% and up to 2%. So, and as we think about the intent, we think they are -- CMS is more educated in terms of how they want to approach. But we're also cautiously optimistic that their balance is program integrity as a priority in addition to having a way to start up the contract that is more thoughtful in terms of the provider landscape. So, I don't -- all I can do is look at our discussions, what I think their objective is? What the historical behavior has been? And if that is the starting point, then I think there is certainly opportunity for us to continue to work with them to move that up as the contracts matures?
Toby Wann: Thank you.
Operator: Thank you. Our next question comes from Oscar Turner with SunTrust. Please proceed with your question.
Oscar Turner: Good afternoon. Thanks for taking my question. The first question is just on the cost structure, you guys have done a great job of taking cost out of the business, given out pretty tough environment. I was just wondering how these cost cuts affect your ability to ramp in the case that you do win one or two awards either later this year or next year.
Hakan Orvell: Again, I mean as we look at our cost structure, we'll be none -- we remain very focused on keeping the balance of not again jeopardizing our ability to ramp-up on the new contract and also not driving as much revenue as we can under the current scope of work that we're doing in the -- throughout our business. So, as you look at on the new contract award on the Department of Education side, certainly we would need to ramp-up that, on the production side to -- depending on how many contracts and so forth is awarded. Clearly, they just basis on the increase in volume, there will be an increased scope of cost that we will incur and associated with that.
Oscar Turner: Okay. Thanks. And then just a follow-up on commercial, so over the course of this year, since you began implementing these commercial projects, I was just wondering if your view of the long-term commercial health care opportunity has changed?
Lisa Im: Well, actually not at all. We are - we're still very encouraged by what we see and I think part of that -- part of our challenge was one bringing in the right, I would say additive talent to the commercial team and then really redefining and reorganizing our structure. We had some inefficiencies and just organizational challenges that we believe we have addressed in a meaningful way and we are -- as I mentioned, it's still early, but encouraged by what we're saying. So, it is not in any way change our long-term view.
Oscar Turner: Okay. Thanks. And then just follow-up to that, should we expect any increases in expenses in 4Q from next year due to your adding resources for commercial or is that largely done?
Lisa Im: What expenses we add will be, I would say, very prudently added and alongside of revenue growth. So, we don't have our projection for 2016. But as our revenue growth will certainly need to bolster the organization to continue to fuel that growth.
Oscar Turner: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from Michael Cohen, Private Investor. Please proceed with your question.
Michael Cohen: Hi. This is Michael. Are you there?
Hakan Orvell: Yes. Yes.
Michael Cohen: I was wondering if you could provide just a little more clarity on your expectations for the DOE contract at the end of the year. Can you just talk about sort of the assumptions underpinning your belief that it will come at that time. I mean what conversations you've had or what process gives you some confidence that it will be awarded in that timeframe?
Lisa Im: Well, let's be clear. We're not a 100% confident, because this is -- based on good information from very reliable sources, we originally believe that the awards will be made will be made in April. So, we're going on what we believe are reliable sources that we can't be -- we're not 100% sure.
Michael Cohen: Right. And do you have a sense as to -- what sort of the remaining hurdles are for them to make that decision? Are they sort of imminently making that decision? Do you have a sense as to sort of what changed over the course of the six months to delay things?
Lisa Im: So, I'm speculating, because I haven't talked to the procurement officer anyone inside about what has caused the delay, but certainly there's been a lot of activity around the vendors to a wound down in February including the lawsuit that I think Navient has out and it's currently in the courts. So, with regard to federal agencies, they tend to be very cautious to make sure that they have dotted their eyes and crossed their teeth. So, I can only speculate that they're ensuring that whatever awards are made and when they make them, they are very, very prepared to address any kind of protester issues or challenges that come up as a result. So, from our work with Federal agencies over 30 years, I can tell you they are very cautious to ensure that they have the right background and the right, the appropriate decision making that's in place. So, this particular one, I think is sensitive as a result of all that flurry of activity.
Michael Cohen: Okay, great. And then as you look out to the time horizon at which that might get implemented, you're sort of talking about obviously that it has a delay through 2016. What is sort of your view of sort of the time horizon of ramp from whenever the start is and/or is it were today is it three months, is it six months, like what is sort of the conversion cycle from placement to revenue as you think this next contract will be?
Hakan Orvell: Typically Michael, let's say it's generally a nine-month rev reg cycle. As you look at the rehabilitation process, which requires the borrower to make a nine monthly payments and that's where we - and we've recognized that bulk of our fees associated with that ninth payment is done. So, it's looking at about nine months.
Michael Cohen: Okay, great. And then so I guess between sort of now and then or between now and whenever each any of these contracts, either on the Medicare side or on health -- I mean, on the DOE side, is there anything that you guys can do to leverage the platform for other sort of short-term things, I mean, are there other things that you can do to generate revenue, while we wait?
Lisa Im: Well, one of those in healthcare is clearly our expansion in commercial healthcare revenue.
Michael Cohen: Right, outside.
Lisa Im: Yeah, on the student lending side, we actually are working on default prevention, which is an expanding business for us on fairly our student loans. So yeah, we're definitely looking at ways that we can expand and utilize our platform in order to grow and continue to diversify revenue longer term.
Michael Cohen: Okay, that's helpful. And then just to readdress, I guess the issues on the associated with the private healthcare revenues, can you obviously -- it sounds like, clearly there were some execution issues can you just kind of aside from -- I guess which sounds like it was some combination of the wrong personnel as well as not managing the process of porting data over, is that a good summary of it. Can you just kind of walk us through? I mean, it would seem that this should be a fairly high priority given that this would be something that could be growing and that it's not holding to the government. I'm just curious as to sort of how that happened?
Lisa Im: Sure. Well, let me give an example, our account management sales reported into another executive and operations reported it somewhere else. And so, one of those areas that was -- that quite frankly just could be fixed fairly quickly was to align that organization under one executive. The -- I don't know if it's wrong personnel, but we certainly needed a bolster of an executive level at the -- when I say executive, not a C level, but someone who is at a VP level coming in from commercial healthcare to really just help us expand those contracts faster. And with respect to -- with data and data portals and IT, we definitely needed to reprioritize and make a decision as an organization about which priorities we're going to pursue. So, we have, I would say, a complex business and that we have many types of clients whom we serve and initiatives that we're executing for those clients. And so it wasn’t quite as simple as picking one thing and fixing it. So, we feel like we've really done a lot of work around that and as I mentioned, we're actually seeing some -- it's early, but we're seeing some positive momentum already. So, we're cautiously optimistic.
Michael Cohen: Great. Thank you.
Operator: Thank you. At this time, I would like to turn the call back over to management for closing remark.
Lisa Im: Thank you. We really appreciate your time today and as we mentioned, I believe that the hard work that has been done by our organization has driven the stronger result and we're anticipating that as we move forward that some of the work that we've done in the past quarter, will continue to escalate in terms of benefit. So, again, thank you very much for spending your time with us.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time, and have a great day.